Operator: Good day ladies and gentlemen, and welcome to the Monolithic Power Systems’ second quarter 2012 earnings conference call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded.
 I would now like to turn the conference over to Ms. Meera Rao, CFO. Ma'am you may begin. 
Meera Rao: Thank you. Good afternoon, and welcome to the second quarter 2012 Monolithic Power Systems’ conference call. Michael Hsing, CEO and Founder of MPS is with me on today’s call.
 In the course of today’s conference call, we will make forward-looking statements and projections that involve risk and uncertainty. These statements will cover a number of areas concerning our business outlook, including our business and financial outlook for the third quarter of 2012, our expectations for third quarter litigation, stock-based compensation and GAAP and non-GAAP operating expenses, projected third quarter revenues and gross margins, our target operating ranges for gross margins and inventory, our expectation for revenue growth and gross margin beyond Q3 2012, our expected average tax rate for 2012, our belief regarding the outcome of a pending IRS audit, our belief that MPS is well positioned for future growth, the expected seasonality of our business, our expectation for future cost reductions and new product introduction, potential customer acceptance of our products and the opportunities these present and the prospects of diversification and expanding our market share.
 Forward-looking statements are not historical facts or guarantees of future performance or events, and are based on current expectations, estimates, beliefs, assumptions, goals and objectives, and involve significant known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from the results expressed or implied by these statements.
 Risks, uncertainties, and other factors that could cause actual results to differ are identified in our SEC filings, including but not limited to our Form 10-K filed on March 12, 2012, and Form 10-Q, filed on May 08, 2012, which is accessible through our website www.monolithicpower.com. MPS assumes no obligation to update the information provided on today’s call.
 We will be discussing operating expense, net income and earnings on both a GAAP and a non-GAAP basis. These non-GAAP financial measures are not prepared in accordance with GAAP and should not be considered as a substitute for or superior to measures of financial performance prepared in accordance with GAAP.
 A table that outlines the reconciliation between the non-GAAP financial measures to GAAP financial measures is included in our earnings release, which we have filed with the SEC. I would refer investors to the Q1 2011, Q2, 2011, Q1, 2012 and Q2, 2012 releases as well as to the reconciling tables that are posted on our website.
 I would also like to remind you that today’s conference call is being webcast live over the Internet, and will be available for replay on our website for one year along with the earnings release filed with SEC earlier today.
 We would like to start this call by reviewing our second quarter highlights. Following this update, we will discuss the operating results. We will conclude by discussing our expectations for the third fiscal quarter of 2012. We will then open up the call to your questions.
 Let’s start with the financial highlights. The second quarter 2012 net revenue of $58.6 million was above the midpoint of our guidance range. Q2 revenue increased $8.1 million or 16.1% from the prior quarter and MPS revenues increased in all end market. Q2 revenue also increased $7 million or 13.5% from the second quarter of the prior year.
 MPS saw the strongest growth both in dollars and as a percent of revenue in the industrial market. For the first time, revenues from industrial markets crossed 10% of revenues. Industrial revenues were 14% of revenues in the second quarter.
 Second quarter gross margin rose to 53.2% compared to gross margin of 52.3% in the prior quarter and 51.4% in the same quarter a year ago. Bottom line, non-GAAP net income was $10.1 million or $0.28 per fully diluted share.
 Turning to the business highlights, in the computing and storage space, we had multiple design wins with industry leading, integrated power products on the [Sharkey] notebook platform. Not only does this reduce our customer solution costs, it also increases the notebook battery’s life. In addition, MPS has also sampled parts for the Sharkey ultrabook platform that meets Intel’s low power requirement.
 Last quarter, we mentioned Intel’s validation of MPS’ core power Grantley server solution. We now have also been accepted by several Tier 1 server customers for a point-of-node power solution ranging from 4-amp to 20-amps.
 In the storage market, our SS EPA has been widely adopted since its introduction last quarter. In the industrial and automotive market we have expanded our presence in security, smart meters and automotive markets. Our battery charger design win in industrial measurement application further extended our footprint in the industrial space beyond DC to DC.
 In the AC/DC markets our new Easy Power product family has been widely accepted by customers in the so called Internet of Sync space like smart power grid, environmental controls and building automation. This Easy Power product family is based on a proprietary high voltage technology which provides unique simple cost effective solutions for the Internet of Sync and creates a significant barrier to entry for our competitors.
 Moving to the profit and loss statement. Looking at our revenue by end market, all four end markets enjoyed revenue growth compared to the prior quarter. Second quarter industrial and automotive revenue grew by $3.2 million to $7.9 million compared to $4.7 million in the prior quarter. Industrial and automotive sales growth was fueled by lighting, security, industrial meters and automotive applications.
 Consumer sales increased $2.3 million quarter-over-quarter to $26.2 million in the second quarter of 2012, largely due to continued growth in set-top box and general purpose consumer sales. Communications revenue grew $1.8 million to $14.3 million in the second quarter of 2012. Sales to Gateway systems drove the increase in the communication market. Computing sales increased to $10.2 million in Q2, 2012 mainly due to growth from graphics cards and storage applications.
 Let’s move down to the gross margin line. Our second quarter gross margin increased to 53.2% from the 52.3% in the prior quarter, largely due to favorable product mix and overhead absorption. Second quarter gross margin was also up from the 51.4% reported in the same quarter a year ago.
 Let’s review our non-GAAP operating expenses; excluding stock compensation, our non-GAAP operating expenses for the second quarter of 2012 were $20.7 million, up $700,000 from the $20 million we spent in the prior quarter. Second quarter non-GAAP R&D and SG&A spending increased $1.1 million from the prior quarter mainly due to higher R&D spending in support of our new product initiative.
 This increase was partially offset by about $400,000 lower litigation expenses in the second quarter, both quarters of 2012 included the benefit of $300,000 each quarter under a Settlement and License Agreement of $2 million. Non-GAAP operating expenses for Q2 2012 were $1.7 million from the $18.9 million we spent in the second quarter of 2011.
 The increase year-over-year was primarily driven by sales and marketing hired, commissions on higher sales and higher R&D spending in support of new product initiatives. Our non-GAAP operating margin was 18.1% in the second quarter of 2012 compared with 12.9% in the prior quarter and 14.9% in the second quarter of 2011.
 Moving on to our reported expenses and operating margins, our GAAP operating expenses were $24.4 million in the second quarter compared to $23.2 million in the prior quarter and $22.5 million in the same quarter a year ago. Since the only difference between non-GAAP operating expenses and GAAP operating expenses for these quarters is stock compensation expense.
 Let's look at the stock compensation expense. The stock comp expense was $3.8 million in the second quarter compared to $3.3 million in the prior quarter and $3.7 million in Q2 2011. Our GAAP operating profit was 11.6% in the second quarter of 2012 compared to our GAAP operating profit of 6.3% in the prior quarter and 7.8% in the second quarter of 2011.
 Switching to the bottom line, on a GAAP basis our Q2 2012 net income was $6.6 million or $0.18 for fully diluted shares. On a non-GAAP basis our Q2 2012 net income was $10.1 million or $0.28 for fully diluted shares. This result is computed with an estimated tax rate of 7.5%. We recorded a one-time settlement of $169,000 as other income in the second quarter.
 Fully diluted shares increased slightly from 35.5 million shares in the prior quarter to 36 million shares in the second quarter of 2012. Now let's look at the balance sheet. Cash, cash equivalents and investments were $196.4 million at the end of the second quarter of 2012, up from the $194.6 million at the end of the prior quarter and $180.5 million we had on the books at the end of the second quarter 2011.
 In Q2 MPS had operating cash flow of about $8.9 million and cash proceeds of $3.4 million from employee option exercises. We spent $10.4 million in the quarter mainly on capital equipment and also on our headquarter building improvement.
 Accounts receivables ended the second quarter at $21.4 million compared with $19.9 million at the end of the prior quarter and $17.6 million at the end of the second quarter of 2011. The increase in accounts receivables from Q1 2012 was largely due to higher revenues in the second quarter.
 Days of sales outstanding were down to 33 days in Q2 2012, from 36 days in Q1 2012, and up from 31 days in Q2 2011. Our internal inventories at the end of the second quarter were $29.5 million or about 98 days of inventory on a historical basis which is just below our inventory model of 100 days to 110 days. This compares with $21.5 million or 81 days of inventory at the end of the prior quarter. Inventory in our distribution channel was about the middle of the target range of 30 days to 45 days.
 Let's turn to a discussion of general business condition. While our design win cycle continues to be robust and we believe that we've maintained our recent market share gains. We saw resales and order momentum start to slowdown particularly in the second half of June. The industry wide slowdown is most noticeable in the consumer space but projected demand is down in what would otherwise be a strong quarter for the consumer market.
 I would now like to turn to outlook for the third quarter of 2012. Our revenue guidance is in the range of $56 million to $60 million for the third quarter of 2012. We expect gross margin to be in the range similar to the second quarter. We expect stock based compensation expense in the range of $4 million to $4.5 million.
 In 2012, we implemented pay-for-performance equity compensation program for our key employees. As a result, we are required under the accounting rules to assess the probability of hitting the performance metrics on a quarterly basis. This will add volatility to stock comps compared to the typical straight line approach associated with time based grants.
 We expect non-GAAP; R&D and the SG&A expense to be in the range of $20 million to $21.5 million. This estimate excludes the stock compensation estimate mentioned above. In conclusion, we are well positioned with new product revenue ramping in multiple market segments. At the same time, we will closely monitor the macro economic conditions and control expenses during the slowdown.
 Our goal is to exit the slowdown stronger and better positioned for success in 2013 and beyond. I will now open the microphone for questions. 
Operator: [Operations Instructions] Our first question comes from Steve Smigie from Raymond James. 
J. Steven Smigie: I know obviously the macro is a little bit soft here, so I understand the flat guidance. Can you help me understand the implications of that for the December since we didn’t see the seasonality in September? Does that mean you are also likely to not see the negative seasonality in December so could that be potentially flattish I know you can typically kind of low quarter but since unusual quarter? 
Meera Rao: Our seasonality in the last two or three years has been not reflective of what we consider a normal seasonality, so Q4 is a hard one to call because I don’t know what the macro conditions are going to be in Q4, but when I say we do expect that on some of the  newer product revenue stream we might see some early revenues in Q4 all-in-all how the different trends are going to play off we don’t know at this point. 
J. Steven Smigie: If you could talk a little bit about your graphics and storage products I think in some of the products we are to see some earlier ramps relative to some of the others how meaningful that could be in September and back half of the year and so the profile how should we think about that into next year? 
Michael Hsing: Echoing back Meera now just said it, and we see that Q3 was a very optimistic and until the third week of June. And suddenly all there are slowdown, some of the stuff even pushed out but as I said in the last conference call, in the future revenues, and that particularly in the second half of 2012, because we have all these designing activity should hit the inner revenue stream. So we have we mentioned as key market we have the HDV market and in some of the industrial and offline EV power product lines, they all are going to show some early revenue in stock from Q4. And so, but that’s the way we see it and that’s what our customers forecast and what the revenue rate will be and so until then we know it. 
Operator: Our next question comes from Tore Svanberg from Stifel, Nicolaus. 
Tore Svanberg: Could you talk a little bit about the BCD3 process? You know, what sort of percentage of products right now in production and can you also comment if BCD4 is still ready for Q4 launch? 
Michael Hsing: BCD, we are still converting from BCD2 to BCD3 technology. I don't know exactly what the percentage, maybe it's 30% to 40% and Meera can give you a better contribute. 
Meera Rao: Sure. As you know, we introduced BCD3 for office last year and such products went into production late last year. So we have started shipping, landing revenue on the BCD3 process. We've seen a significant portion of our design wins all on BCD3. Our new product offerings are also on BCD3. So we are well positioned to see a ramp in revenue from BCD products in 2013? 
Tore Svanberg: And then, could you just talk about your relative visibility, I mean I know you usually don't comment on backlog and bookings and things like that, but just so we understand how the linearity has progressed you know, how do you feel right now about the flattish times for the third quarter? 
Michael Hsing: You mean the second quarter? 
Meera Rao: For Q3? 
Michael Hsing: For Q3. The Q3 as I said earlier, [demand] in the third week of June which is, we realized that it's not as good as we thought. So, going for the future in Q4 and beyond we remain very optimistic. 
Meera Rao: I will just add to that. In terms of a backlog, we had a very good backlog and we are comfortable about the quarter’s guidance. 
Operator: Our next question comes from Patrick Wang from Evercore Partners. 
Patrick Wang: On my first question, I want to follow up on your comments there. You know, it sounds like things softened in the back half of June, can you talk about how things have looked thus far in July and then, Meera, you said that you saw felt fairly comfortable with the guidance here today. I guess help us walk through the thought process behind the guidance here because you know, it seems there if things continue to be soft today, then perhaps should we not really expecting [indiscernible] business? 
Meera Rao: So, let me speak to that a little bit. We saw softness in the second half of June in the consumer area, particularly in set top boxes and TV. We also saw some softness in our gateway product revenues. So we've taken that into consideration when we came up with a guidance. We still see strong growth in our new product stream, things like Storage, Lighting, Automotives. We still see growth over there, but this is a quarter where typically we would have seen a lot of growth coming in from set top boxes, TV and gateway. So those are the three areas where we’re not seeing the strengths that we typically would have seen to take us to a higher quarter. In fact some of the growth in the areas that I talked about, the new revenue streams are actually offsetting the decline that we’ve seen in the consumer and consumer light markets. 
Michael Hsing: Yes, and usually the consumers and the gateway, those are products that have a very fast turn business. And we don’t see the very long-term booking. 
Meera Rao: In terms of expectation, from our perspective, the markets got soft in the second half of June and this market has an ability to go soft or pick up within a space of week. So we’re being conservative as we typically are and are guiding it to flat essentially. 
Operator: Thank you. Our next question comes from Ross Seymore from Deutsche Bank. 
Ross Seymore: Meera, can you just walk us through or Michael, what percentage of your sales do you now deem to be in product versus the legacy product? 
Meera Rao: I think at the moment, the bulk of our revenues are sales from the BCD2 or BCD front. We've just started shipping on our BCD3, but based on our design wins that we’ve seen out there, we expect a larger portion of the 2013 revenues to be from BCD3. 
Michael Hsing: It was strictly say based on the BCD2 and I think the BCD2, we rough estimated that it would be some way of 70% and if the continuous effort to change the - to upgrade BCD2 process to a final version of a BCD3, and the full BCD3 as we said it, we used a die size by far a certain percentage, by 50% and those who bought products by hitting on the market and I think last year, third quarter of last year and those products my guess will be like a single digit of a percentage. But in between other ones like a backlight product we released last year summer time and it’s sort of in between. So overall the rough number is probably 30% to 40% and 20% to 30%, then well going forward, all the product will be based on this BCD3 and which is all using the mesh connect in network and also the technology with a 40% shrink. 
Ross Seymore: Okay. And I guess there is my one follow up switching just a little bit related to earlier question. If we just assume that the fourth quarter is, I don’t know kind of down 5%, been kind of a historically normal range, Meera, can you just talk us through what some of the puts and takes would be on both gross margin and OpEx, again not so much guiding in revenues. I know you are not going to do that, but assuming down 5, what would those two lines of your income statement be? 
Meera Rao: Were you asking me hypothetically if our revenues were to go down 5%? 
Ross Seymore: Yes, it’s 5% sequentially, what’s the percentage of new product, mix, those sorts of things, how does that help or hurt gross margin in that and I don’t if there is any seasonality here out as well? 
Meera Rao: I would expect gross margin, with a 5% decline, I would expect our gross margin to be flat to maybe be slightly down. It also depends on how much of that early revenue we get in, if it is in the hundreds of thousands of dollars, it may not have as much of an impact. If it runs in the million of dollars, then I think it could have a bigger impact on gross margins. 
Michael Hsing: Yes, as for the utilization of course, if that's a negative, that is a negative side and it's not the medium line and if you drop to 5%, you will see a volume of that percentage as we talked about in our prior quarters and so what Meera just brought that up, the new product mix and I feel very strongly optimistic in the second half of this year and the new product will rank and bodes well with our high gross margin. So if you for pure modeling purpose, we will be slightly flat or flatly there. 
Operator: Our next question our next question comes from Jaeson Schmidt from Craig Hallum. 
Jaeson Schmidt: Just Meera, wanted to get your thoughts on what you guys think that you see the inventory situation is and just overall inventory in the channel and then secondly how should we look at litigation going both for Q3 and Q4 and then into 2013? 
Meera Rao: Inventory in the channels, we are off a little bit. We were in the low end of a range and again the increase in inventory has largely been in our gateways and set top boxes and TV; while we have really tried to the extent possible to keep it at this level and so that's without any further deterioration in the environment that's what I would kind of expect. In terms of litigation expenses, as you know we are going to be getting another $300,000 this quarter and our litigation expenses right now are really low, so we’re expecting it to be somewhere less than $100,000. 
Operator: Our next question comes from Cheng Cheng from Pacific Crest Securities. 
Cheng Cheng: A quick question on inventory; I know its low on your target level but I did see a little bit of jump in Q2, so I was wondering what’s your thoughts on the current level of inventory and what you are planning for in Q3? 
Meera Rao: Sure. Our inventory I think we mentioned in the last call that we are planning to increase our inventory because it would substantially grow what our model is. With the slowdown we have ended up a little higher than we have expected going into the quarter. And my expectation is given the wafers in line that we’ll most probably end-up this quarter at the high end of our inventory range or a little higher than that. But lots of inventory that we’ll be holding will be in die. 
Michael Hsing: I see this as not necessary to get negative thing and in the past we have sudden slow down and you always will expect to see a sudden snap back. So given long-term even a slightly higher than our model inventory, if it’s slightly higher, then I can -- those products will have more effect in the long-term because our products lifecycle is about at least five years. 
Cheng Cheng: I wanted to follow-up and maybe just on your computing segment, I was just wondering if you would breakout about how much of that is for storage application? 
Meera Rao: Storage right now is slightly above 50% and it is LCD and SSC and the SSC portion is growing, is a faster growing opportunity. 
Operator: [Operator Instructions] We have a follow-up question from Steve Smigie from Raymond James. 
J. Steven Smigie: Just regard to the Sharkey wins; can you talk a little bit about how many OEMs did you guys might have opportunities with there? 
Michael Hsing: The Romley and Sharkey, yeah we currently have a design win, not in the typical server makers, but we are in the networking company and we won the server either Romley and Sharkey design; or Romley design, okay. 
J. Steven Smigie: And going back to the questions on storage, do you have better margins on say SSD versus HDD and as that stuff ramps within your computing mix, would that storage business be better to overall computing so we could see margins going up as storage rises in your mix? 
Michael Hsing: All of the new products for servers and even for some of the ultrabooks, they are all higher in the corporate margins and much higher than the corporate margin and you mentioned that the SSD and HDD and I think these are molding up about the same where they are much higher than a corporate model, corporate average number. 
Meera Rao: And going forward, as a revenue for our SSD that would be even better margins. 
Operator: Our next question comes from Patrick Wang from Evercore Partners. 
Patrick Wang: Yes, I just want, I hope you could rank order for us in the back half of the year, what do you think some of your more compelling material catalysts are? I mean you guys have talked about some of the notebook server designs, talked about storage auto, industrial, could you maybe just kind of highlight a couple that we should be looking forward to in the next couple of quarters? 
Michael Hsing: I think one of those definite ones will be on graphics where we continue to see incremental revenues coming in. They’re from, all from the make and some of the other products that we've been releasing. We will continue, that’s going to be a continuing story on the networking side for the modules that we had talked about. We expect those revenues to ramp in 2013. We might even see some of the earlier revenue towards the end of the year and then the other ones, going into, if you go into 2013 is going to be our revenues from [indiscernible]. Everybody, easy to remember only seven things; so I can add a few more like the lighting and Meera didn’t mention that and we expect to see a lot more revenues and easy power the product line in as Meera mentioned that in her manuscript and the internet of things and it really I think it hit the market and as I said two or three quarters ago, this product will set the industrial standards and that’s the product and that’s the product we will see a lot of activities in the market and we expect volume will ramp up very soon. 
Patrick Wang: And then also wanted to touch on inventories. Your internal inventories again, so it sounds like it’s a $2 million heavy based  on kind of have slower trends that we have seen recently here, but do you think that, can you just kind of help us characterize how quickly those inventories went up? Was it a more of a recent kind of phenomena, was it just kind of the timing of the change there? 
Meera Rao: We were planning to increase our inventory that we had because our goal was to keep inventory as lean as we could in the channel and so our goal was to hold more inventory internally. So some of the increase was expected with the slowdown in turns we could have a little bit more inventory but we are going to hold most of the inventory in guide banks so that allows us to respond to either to a snap back or either so we can package it wherever the demand is. 
Michael Hsing: Let me add some more color on that. I said that many long time ago, as I always said, MPS’ inventory is not by a one to one relationship with the revenue and especially during a time, when you're ramping up the new product and we have to strategically build up an inventory for those product. The more new products you have, the larger inventory and so it's not quite a one-to-one relationship, pure is already a relationship with the future revenue. 
Operator: Our next question comes from Tore Svanberg from Stifel Nicholas. 
Tore Svanberg: Yes, just two quick follow ups. First of all, as the margin is down, it's like you are a little bit more optimistic about new products may be ramping as early as Q4. Is that due to some pull-ins or some programs being launched earlier than expected? 
Meera Rao: Some of it is earlier adoptions then we would expect from new product ramp. We're seeing this in areas like the SMTP mix we talked about. We are seeing some of that in the [EZ Tab], things, the possibility, things that we might see something similar in networking as well. So we're just seeing a lot of interest in here and based on early feedback from customers, we think that we could get some design wins; we could get some early revenue in late Q4. 
Michael Hsing: Yeah, our story hasn’t changed, I think been for the last couple of quarters. We all say that in middle of this year and that most of our products generating is from an existing product and in second half or later this year, it is all the new product that will move the needle slightly and so that story hasn't changed yet. 
Operator: I am showing no further questions at this time. 
Michael Hsing: All right. Thank you, everybody and looking forward talking to you in the next quarters. 
Meera Rao: Thanks. Bye, bye. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect and have a wonderful day.